Operator: Good day ladies and gentlemen and welcome to the Reinsurance Group of America second quarter conference call. Just as a reminder, today's call is being recorded. At this time, I would like to introduce the President and Chief Executive Officer Mr. Greig Woodring and Senior Executive Vice President and Chief Financial Officer Mr. Jack Lay. Please go ahead, Mr. Lay.
Jack Lay: Okay, thank you and good morning. Welcome everyone to RGA's second quarter 2010 conference call. Greig Woodring, our CEO, will briefly comment on the results we released yesterday and then we'll respond to questions from any participants on the call. I'll turn the call over to Greig after a quick reminder related to forward-looking information and our use of non-GAAP financial measures. We'll make certain statements and discuss certain subjects during the call today that will contain forward-looking information including among other things, investment performance, statements relating to projections of revenue or earnings and future financial performance and growth potential of RGA and its subsidiaries. You are cautioned that actual results could differ materially from expected results. A list of important factors that could cause actual results to differ from expected results is included in the earnings release issued yesterday. In addition, during the course of the call, we'll make comments about our results based upon operating income both on a pretax and an after-tax basis. Under SEC regulations; operating income is considered a non-GAAP financial measure. We believe this measure better reflects the ongoing profitability and underlying trends of our business. Please refer to the tables in our press release for more information on this measure and reconciliations of operating income to net income for our various business segments. With that, I'll turn the call over to Greig.
Greig Woodring: Good morning, thank you for joining us. I will provide some brief comments on the second quarter and then we will open the line for your questions. Our second quarter income totaled $122 million or $1.63 per diluted share. Last year's second quarter was very strong with $131 million of operating income or $1.79 per share. Tax adjustments helped last year's second quarter by $0.16 and hurt the current period by $0.07 and so there is a net swing of $0.23 in comparing the two. Consolidated net income totaled a $127 million or $1.70 per diluted share this quarter compared with $153 million or $2.10 per share last year, which included a significant gain related to the repurchase of a portion of the company's junior subordinated debentures. Consolidated net premiums including $73 million from the ReliaStar Group Reinsurance acquisition totaled $1.6 billion during the quarter; that's an increase of 12% on an original currency basis and 15% on a U.S. dollar basis over second quarter 2009. For the first six months, net premiums increased to $3.2 billion or 18% on a reported basis and 13% on an original currency basis compared with last year. Net investment income increased to $292 million this period with an average yield on the portfolio of 5.5%, new money rates are below that level so we do expect some continued downward pressure on yield in the near term. Impairment losses reflected in income were less than $5 million this quarter and our net unrealized gain position continued to rise along with the overall strength of our investment portfolio. Book value per share including ALCI is up nearly 15% since year-end to $60.73. Congress did not pass an extension of the act of financing exception legislation, so we increased our tax provision another $5 million this quarter, which had an adverse effect of $0.07 per share. If Congress passes the extender package later this year, we will reverse the provision, which currently totals around $10 million. On a consolidated basis, foreign currency fluctuations added $0.04 per share this quarter compared to second quarter '09. Turning now to segment results, our U.S. traditional business including our newly acquired Group Reinsurance business reported pretax operating income of $96 million compared to $100 in the second quarter of 2009. Premiums were up 16% for the quarter including the ReliaStar business and 7% without it. For the first half, premiums are up 15%. Our newly acquired group business posted another strong earnings results and it's clearly off to a good start out of RGA. Mortality experience was much better than the first quarter at about 1% above expected. Mortality experience in the second quarter of 2009 was slightly better than expected. The overall level of price competition in the U.S. market seems to be ratcheting upwards slightly although new treaty activity remains quite low. Our U.S. asset intensive business reported another solid quarter with $16 million of pretax operating earnings, roughly the same as the second quarter of '09. Turning to Canada, the segment produced very strong results for this quarter with pretax operating income totaling $33 million compared with $18 million last year. The increase reflects favorable claims experience in the current period coupled with adverse experience in last year's quarter. Premiums were up 14% this quarter due in large parts were relatively stronger Canadian dollar. For the first six months, premiums are up 32% in U.S. dollars and 13% in local currency. We have continued to be a leader in the Canadian market. Our international operations reported solid results again this quarter, most notably in the UK. Our Europe and South Africa segment reported pretax operating income of $21 million for the current quarter. The substantial increase over the $12 million from last year when the segment experienced slightly adverse claims experience. Original currency net premiums increased a healthy 20% for the quarter. On a U.S. dollar basis, premiums were up 17%. Year-to-date original currency premiums are up 17% and in U.S. dollar is 21%. Similar to the first quarter, our UK operations reported strong results due to favorable claims experience and a good premium growth. Asia Pacific reported a solid pretax operating result of $22 million compared with a very strong $25 million in the prior year period. The original currency net premiums were very largely flat for the quarter and first six months, translated premiums were up 12% for the quarter and 15% year-to-date as the U.S. dollar was relatively weaker against most of the Asian currencies. As expected, premiums in South Korea and Japan continued to lag last year's pace, but we expect to regain momentum next year. Overall Asia Pacific claims experience was in line with our expectations for the quarter. So in summary, we had a solid quarter with annualized operating return on equity of 13%. Our international operations performed well and we continue to realize geographic diversification benefits as they grow. Our newly acquired Group Reinsurance business continues to perform well. Our capital position remains strong with estimated redundancy exceeding $500 million. We hadn't added any large block transaction this year but continue to look at opportunities to deploy excess capital. Our net unrealized investment position has improved over $800 million from this time last year when we had net unrealized losses of $333 million. We believe that current life reinsurance environment offers opportunities and RGA is well positioned to add long-term value for its shareholders. We appreciate your support and interest in RGA and with that, we will now take your questions.
Operator: (Operator Instructions) We will take our first question from Mark Finkelstein from Macquarie.
Mark Finkelstein – Macquarie: Can you please just walk through a little bit more in terms of what you are seeing in terms of the deal pipeline, where it's coming from? Obviously there is a large property on the market, maybe how you think about a transformational deal as well?
Greig Woodring: We do see a fairly strong pipeline of yield type activity, I will call it, as I indicated earlier, the regular pricing in the U.S. market is very light right now, there is not a lot of new treaties being placed and not a lot of new products being introduced into the marketplace to cause it. We do see a lot of potential transactions. We don't know how serious some of them are, the one transaction you referred to, I think everybody has become aware of the fact that one of our competitors has announced that they might sell the property and we will take a look at it. Of course, but we are seeing possible transactions all across the globe as companies are reassessing their strategy and taking a look at how they want to structure themselves going forward and we are seeing opportunities in Europe, Asia, and as well as in Americas.
Mark Finkelstein – Macquarie: You mentioned the competition ratcheting up. Where are you seeing that, where is it from and is it across businesses, across geographies, where is it coming from essentially?
Greig Woodring: That remark was specifically with respect to the U.S. marketplace. It's just our assessment that the U.S. marketplace is getting a little bit more competitive but written (ph) over to that, but a little bit more competitive and we have noticed that recently, although as I said, there is not a lot of activity on the pricing front these days.
Operator: We'll take our next question from Jim Bhullar from J.P. Morgan.
Jim Bhullar – J.P. Morgan: Hi thank you, good morning. I had a question first on just the capital deployment. Assuming that you don't complete any acquisitions, have you thought about buybacks and – like what are the other uses of capital assuming that you don't do a deal? And then secondly on the tax rate, assuming that Congress doesn't pass active finance exemption legislation by year-end, what do you expect the tax rate to be in the second half? Would it be in the 37-ish percent range and what do you expect it to be in 2012 – 2011, sorry?
Jack Lay: All right Jimmy, let me start with that. This is Jack. Let me start with that last question on the active financing issue. In terms of impact on the effective rate, I think we are right around 36% or so this quarter and near that year-to-date. Now that's probably a decent proxy. You know, it's affected by how much of the earnings are from international operations and so on and so forth. So, it's hard to be too precise on it. But I think probably a 36% or so effective tax rate is probably a good estimate at this point if in fact, there is no extension this year, and in the next year as well, I don't see any reason that that estimate would vary significantly next year. In terms of any kind of – the capital situation, any potential buyback or anything like that, you know, we continually assess the capital structure in the extend of which we have excess capital and our own estimates on, for instance, probabilities of deploying that capital going forward and it's always a difficult call, because these deals kind of come up, and you don't know whether you're going to execute or not. So, you know, our plan certainly is not to permanently sit on excess capital. Our strong goal is to deploy that capital. And as I said, we continually look at down stock trading price and our estimate, ability to deployment capital. And we'll certainly not rule out any sort of buyback on the equity front.
Greig Woodring: At this stage, we would still expect to deploy the capital. We still believe that lot of opportunities exist in the marketplace, but we would be reassessing that as we go along.
Jim Bhullar – J.P. Morgan: Okay, thank you.
Operator: And we'll take our next question from Jeff Schuman from KBW.
Jeff Schuman – KBW: Good morning. Coming back to the active financing exemption, do you have any read on the outlook there? I mean, historically, this has been extended across a variety of administrations, Democrat, Republican and different variety of Congresses. Is it your stance that this is more a risk just because of the pressures in the budget or did you have a read where this is going?
Jack Lay: Hey Jeff, this is Jack. I don't think we have any better read than anyone else. We really rely upon our advisors to give us their best estimate on the probability that there will be an extension, that sort of thing. And we've been continually advised that it's being handicapped is probable. That is more likely than not that it will in fact be extended but, again if you went back 90 days ago, there was an expectation that it would be extended in the second quarter. And we are in the third quarter now, and it hasn't been extended yet. So, your estimate or guess or intelligence on that issue is as good as ours. We still think there is a good chance, but until it's done, it's not done, to state the obvious, I guess.
Jeff Schuman – KBW: Okay, and then another issue. Obviously, we have this kind of strange situation with the state tax, you know, possibly coming back in force next year. Think about, I was just wondering whether there's lot of a state planning going on and could be a lot of purchases of a state planning motivated life insurance. I would think if there starts to be activity there, that would be pretty visible on the (inaudible) of market, do you think any indication that people are starting life insurance in place for (inaudible) here?
Greig Woodring: Jeff, no, no haven't yet. And in talking to some of our clients about that subject, they are beginning to think about it, but they are really not doing much to dust off and refresh some of the old products that they used to use. There's a possibility that we go through this year with actually no action and state tax comes back, but that's an ugly thing to happen, in the sense that nobody will be certain for a while whether that's sort of a permanent status or there's intended to be a legislation sometime in the future, will be better to have Congress address it and say something about what they really want to have happened so that people can plan on it. And I think everybody is a little bit on the edge of their seat in terms of how to deal with this on certain environment here.
Jeff Schuman – KBW: Okay, and then lastly, growth in Canada does tend to bounce around a bit. There wasn't much premium growth this quarter on a constant currency basis. Should we read much into that or do you think there will continue to kind of bounce around a bit?
Greig Woodring: I think it's going to bounce around a bit. A lot of the growth has come in the form of creditor premium in the last couple of years. The growth on the traditional business has been decent but more muted. And the fact that creditor business and currency has made the growth rate in Canada look really high. We don't expect that to continue – that the growth rate in Canada will slow down considerably, but I think the Canadian Dollar still remains quite strong and likely to stay that way for a while.
Jeff Schuman – KBW: All right. Thanks a lot, guys.
Operator: And our next question comes to us from Andrew Kligerman from UBS.
Andrew Kligerman – UBS: Great. Good morning. Just two clarifications before I go into real thing. You were just commenting on Canada, you said you don't think the growth rate will continue to be slow or – just clarify that please?
Greig Woodring: We don't think that growth rate will continue to be so strong.
Andrew Kligerman – UBS: Okay, strong…
Greig Woodring: As it has been over the last several years.
Andrew Kligerman – UBS: In the creditor area?
Greig Woodring: Well, overall.
Andrew Kligerman – UBS: Overall?
Greig Woodring: Overall, because, yes overall, we've seen very high double-digit growth rates in Canada. We don't expect that to continue.
Andrew Kligerman – UBS: And just a backdrop, as to why?
Greig Woodring: Well, first of all, the Canadian Dollar has had a big run up. We don't expect it to run up at the same rate going forward. We don't expect to add as much creditor business. That's something that's pretty well saturated for us. And organic business in the marketplace is a little bit less than the overall growth rate. There will be potentially some pickup on the group side, but nothing like what we've seen.
Andrew Kligerman – UBS: Great. And then the comment earlier about competition in the US “a little bit more competitive” what does that mean? Does that mean pricing is down 1-5%? Is it a lot more than that? What does that mean exactly in numbers?
Greig Woodring: Oh, it's hard to gauge that, Andrew. What we are seeing and maybe this is a bit of a reflection of just RGA's perspective, where we have adjusted our mortality sites for large cases a bit based on our historical data over the last five or six years. When there's an excess treaty we are finding that the competitive positions are lot more aggressive than we expected it to be. And maybe that's just we are not as competitive at those types of transactions, but, like I said, there's really not a lot of pricing activity in the marketplace to get a good read on where this is.
Andrew Kligerman – UBS: Got it. And then, shifting over to your US asset and cost-intensive business, so $16.5 million of pre-tax operating income, in line with last quarter's $16 million, but I would have expected maybe some pressure in that business line due to the weak equity market affecting variable annuity. I think the future value of business writers went up pretty sharply. But I didn't see any change in the earnings, and may be just a little color about how your VA book performed and why it didn't hurt you in the quarter?
Greig Woodring: I think our VA book performed okay. The strongest performer were the more – were the fixed and the equity index pieces of that business. But the VA business didn't perform that badly. I think it's priced well and then in reasonably decent shape. So, we were happy with the results there. We are not adding a lot of new business to either – we're certainly not adding any new treaties to either of those categories in the last little while. So, this is basically a reflection of how the in-force block has been performing.
Andrew Kligerman – UBS: So Greig, I can assume then that there are hedges in place that were effective, that there wasn't much breakage. Yes? At the point?
Greig Woodring: Oh yes. That's right.
Andrew Kligerman – UBS: Then with regard to Asia, you mentioned that there were some – I guess some pressure in the release, that there were some pressure in South Korea, last quarter it was mentioned that Japan also had some pressure on the larger treaties. And then on the call, just a little while ago, you mentioned that you would expect some pick up in the Asian businesses next year. So maybe just a little color on these large treaties, why Japan wasn't mentioned. Why you would expect some significant pick up next year?
 Greig Woodring: Yes, they actually suffer from the same things in RGA's book right now, but the reasons are a little different. In South Korea, we had some treaties that were product development treaties that had a five-year life span where we were reinsuring the product produced with some of the big companies there. And those ran their natural life span and the companies produced their products after the exploration of the first one. It means that we have to fill in the slack and build up the book again so that the new business production will keep the growth rates going up. So there's little hiatus in South Korea, we expect to see that start to turn around sometime next year, would be our hope. In Japan, we had something similar that we had a couple of one-time transactions that stopped producing business because either the treaty expired or the company decided to retain business so we have a gap to fill. Japan has a very strong pipeline of fairly significant transactions and we're very optimistic about how Japan looks in the fall. Also Japan is not nearly as severe as in Korea and we expect Japan to be kicking in pretty good results soon.
Andrew Kligerman – UBS: And then just – sorry, one last question, interest rates. The yield came off roughly from 5.84% in the first quarter to 5.51% on a consolidated basis x funds withheld. You mentioned that new money rates would most – I guess you would assume there's going to be more pressure, but why the big drop-off on a consolidated basis? I noticed in particular, Corporate and Others saw a $10 million Q to Q drop. And why the significant fall in the quarter?
Jack Lay: Yes, Andy, this is Jack. There's a little bit of noise around the edges in that for instance, early in the year, I know there was a treaty recorded. They had a little bit of a – I wouldn't call it back-dated, but accumulated investment earnings that came along with the treaty.
Andrew Kligerman – UBS: I see.
Jack Lay: And that is a modest impact but it was positive and then you would – that kind of exaggerates to some extent the change in the yield from quarter to quarter. I'll say that the 5% yield now is a more normalized sort of year. And I think we commented earlier that there is certainly pressure in terms of investing new money at rates less than that, you know, at the credit quality that we're interested in. So we could see some additional downward pressure and it will be modest in that we don't have that much cash we're rolling over, although we do have some new cash from operations. So it won't be traumatic but we do want to caution that the pressure is downward currently –it's certainly not upward. And so we could expect to see perhaps a little more fall-off in that yield as the year goes on.
Andrew Kligerman – UBS: Perfect. Thanks so much.
Jack Lay: Oh, Andrew, I didn't answer the other comment on the corporate line. Yes, the corporate line really is kind of aggregates all the investment income and then allocates it out to the various operating segments. And that's based upon a somewhat complicated formula that involves our own estimate of economic capital for each of those segments. And that tends to vary a little bit from quarter to quarter and it's refining somewhat. So to the extent there's either some refinement in the economic capital and a little bit more or a little bit less investment income goes off in to the operating segments that's offsetting corporate. And that's a sum of what you this quarter versus last quarter.
Andrew Kligerman – UBS: Very helpful. Thanks.
Operator: And we'll take our next question from Steven Schwartz from Raymond James & Associates.
Steven Schwartz – Raymond James & Associates: Good morning, guys. I got a number of questions here. Jack, looking at the tax rates into your quarter, historically you've had a, Benny [ph], I think it was from fin48 [ph]. I think you put some of that in the first quarter. Are we going to see another benefit in to the third quarter like we have historically?
Jack Lay: Steven, not to the extent likely. I should say not to the extent that you've seen in the past because we're still trying to make a determination as to whether we'll have a tax year that frees up, so to speak, in the third quarter. So it's been very systematic for the last several years. It's not quite clear this year and so I wouldn't necessarily say expect the same sort of impact on the tax rate in 3Q of 2010 as you've seen in the past.
Steven Schwartz – Raymond James & Associates: I certainly wouldn't because if I remember correctly, you recorded some of it in the first quarter. Would the total for the year maybe be the same as historically it had been in the third quarter?
Jack Lay: Likely, likely it would.
Steven Schwartz – Raymond James & Associates: And then a couple of others – on a follow up on Canada. I think it was the first quarter, maybe it was the fourth quarter, you talked about some changes in the regulatory environment and in Canada which could lead to a slowdown underneath for reinsurance, decline the penetration. If you could follow up with that, is anything going on there?
Greig Woodring: Certainly, nothing is going to happen this year. It's unclear whether it's going to happen next year or the year after. But we believe that those changes are still in train and coming and most likely will affect us next year but it remains to be seen.
Steven Schwartz – Raymond James & Associates: Okay. And then to follow up on solvency II [ph], I was reading that Bermuda is going to be solvency II [ph] compliant. If they decided to do that, how would that all affect you?
Greig Woodring: Well, the U.S. will not be solvency II [ph] equivalent in the first round. It's unclear how that affects us. Of course, we do have a couple of operations – a couple of entities that will be solvency II [ph] compliant, our European operations. And so I'd become familiar with the ins and outs and intricacies of dealing with solvency II environment. In terms of the U.S., it's unclear how the game will be played, and we'll see how that everything happens after that. And I'm not talking about reinsuring U.S. entities; I'm talking about what happens when we're talking about reinsuring entities of European companies that are solvency II reporting. So we'll have to see how that plays.
Steven Schwartz – Raymond James & Associates: Okay, so it still hasn't been worked out really whether you might have a capital advantage over your European competitors because of this. That's not been decided, one way or another?
Greig Woodring: That's not clear.
Steven Schwartz – Raymond James & Associates: Alright. And then just to follow up on Japan, you said you're seeing a lot of new businesses. I think Japan has been kind of the Holy Grail for you. To the extent that penetration is so low and you're dealing with the second largest life insurance market in the world. Has that broken finally?
Greig Woodring: No, I wouldn't got that far, and not by any means. I would still say that our number of fairly large transactions we're looking at is noticeably bigger than it has been. And you know, the frustrating thing about Japan is it does move very slowly. And the market itself moves extremely slowly. We have a good position there, we're well respected in the marketplace and we continue to work hard. That's all we can really say.
Operator: (Operator instructions) We'll take our next question from Alek Sivit [ph] from Credit Suisse.
Alek Sivit – Credit Suisse: Good morning. I've got two questions. The first one is can you just elaborate a little bit more on the U.S. higher claims experience in terms of what that means, maybe whether you're seeing that in terms of products. And second, on the pricing environment. I'm just curious if the lower new money environment is part of what is not being reflected in new business pricing and that's another area you're seeing pressure competitively?
Greig Woodring: Taking the second part first, it's possible I suppose, Alek [ph]. I expect that everybody would be facing somewhat similar depression in expected yield going forward. We certainly reflect the current investment climate when we put out a quote. We are at least taking it into consideration in that, that is reflected in our pricing. In terms of higher claims, you mentioned by product – we really don't see much change by product. There's a little bit more, little higher claims level for term products and permanent products. That's something we've expected all along, always have expected, persistency and claims mortality tend to be inversely related and permanent products tend to have better persistency, less any selection and all those other factors that gives ourselves a little bit of a higher expectation for term products. No, I think that we have a lot of information about our mortality and we can take a look at it by product type and by company and by issue year and by auto fact and all of that information. But it's not they were pulling a lot of great messages out of that information except the details that we use in pricing today.
Alek Sivit – Credit Suisse: And maybe just a quick follow-up, just the 1% higher claims, is that like $7 million in the quarter or that's not 1% of the benefit ratio right?
Greig Woodring: That's 1%. Yes, it's more like probably about $10 million.
Alek Sivit – Credit Suisse: $10 million, okay. Thank you very much.
Operator: And I'll take our next question from Eric Burke from Barclays Capital.
Eric Berg – Barclays Capital: Thanks very much, good morning. I wanted to – I have a couple of questions and the first one involves following on the question on your U.S. Traditional business. When you say that mortality experience in the June quarter was essentially in line with your expectations could be modestly worse than your expectations, does that mean that the debt claims experienced was consistent with your original pricing or are we still looking at a situation which you have, we'll call it as underperforming walk of business written many years ago, you revised your expectations downward. And now, you're getting results consistent with the new or the revised lower expectation.
Greig Woodring: Okay, it actually may work out the other way more often. If you look at business saying that was underwritten back in, say, the early 90s, late 80s, that business is conforming much better than the original pricing. So we would base it on our expectation of where mortality has been not what there was a price for. As you mentioned, there are some years basically around '97, '98 or so, or about 2003 where there was a lot of competitive pressure and that is the most parking business we've had. We built that into our expectation. A business before that and after that is higher expectation, pretty much the last period. Since then is probably close to (inaudible) and before that is quite a bit offer of price.
Eric Berg – Barclays Capital: Okay, so yes, you answered, don't tell me, I mean, it sounds like when you talk about expectations, that's a separate sort of idea from pricing. Some of your expectations therefore, right?
Greig Woodring: That's correct.
Eric Berg – Barclays Capital: Great. And then my second question is a broader one. I would seem to me that you would be in a position to assess not only the state of competitiveness in the reinsurance market but also in the life insurance market and because you're seeing what's being charged in contract terms and features and all that, and so, here's my question. We have seen in general a – it's called a tightening of conditions in the life insurance business with certain companies, Lincoln and Son, for example pulling back from their last guarantee by the raising prices or not offering products in certain sales. We've seen a major tightening up of or reduction of risk in the variable new business through price increases and through the scaling back or the elimination of certain risky features, is this increased conservativeness on the part of the life insurance industry, the primary companies, your customers, is it holding or are the companies sort of showing signs of slipping back into their old more aggressive ways?
Greig Woodring: Eric, you're right that we probably, at some level, know quite a bit about the competitiveness on the direct side and most of the time, our detailed pricing actions don't get involved in that because we're just taking a look at the mortality piece of that. We can tell you in detail how mortality charges are faring in the competitive break and some of our people can talk about some of these competitive features you mentioned. That's really not appropriate for us to comment on what companies are doing and how things are holding. We think that the industry is going through a period just generally speaking of reassessing their strategies. Some are falling back to more traditionally conservative postures. Others are trying to be more aggressive and force some more growth. Everybody is struggling for growth right now and we do that time and time again with a few exceptions that companies are looking for ways to help them grow and, you know, that they're feeling those sorts of pressures and you can imagine for yourself what happens in the environment I just described. So a lot of changes going on.
Operator: (Operator Instructions) Next question from Mark Finkelstein with Macquarie.
Mark Finkelstein – Macquarie: Can you just talk a little about your open South Africa? The ex-currency growth was up about 20% in the quarter which I think is above, you know, in the end of the year in terms of the upper end of your guidance range. I know it's just one quarter but I guess what are you seeing? I know you've opened up some new offices and expanded in certain areas but what is really driving the above expected growth in Europe?
Greig Woodring: We are getting good growth in Europe and South Africa and the UK still comprises of the overwhelming majority of Europe for us and so that means that UK growth is pretty good this year. And we kind of expected that based on what was in the pipeline. We put a pretty ambitious plant out for the UK in terms of growth and they've been achieving it so far this year. But we are getting good growth and the continental Europe although it's small compared where the UK is. We have in South Africa and India some growing operations in developing countries and that contributes reasonably to the growth rate, too. But when you look at that segment, you have to conclude that the UK drives the whole result in that segment because it comprise close to 80% of the action there.
Mark Finkelstein – Macquarie: Okay, and then just thinking about interest rates a little but, I mean, obviously the yield kind of went down in the quarter. But you price on a long-term basis. I mean, what are the ranges around what the embedded interest rate assumption on new business currently? Can you give us that range?
Greig Woodring: It's typically, Mark, what we do is we take a look at what we're investing in and the duration we're investing in. We factor that in. You'd be surprised how little that matters for a typical YRT mortality type of quote. So it's really not that much of an issue. And what I would say is for the asset intensive business, we haven't been able to conclude any transactions in the year plus, any new transactions. And so, that reflects our maybe conservative posture on investment income among other things and we would make sure we had assets and liabilities match when we took up either an enforced block of business like that. Or with new business, we would only have the pipeline open when we were confident we could invest the proceeds in a duration and the rate that would be sufficient to get us the return we need. So it has more of an effect on enforced business than it does for new pricing frankly.
Operator: And we'll take our next question from Dennis Davila from Sterne Agee.
Dennis Davila [ph] – Sterne, Agee: I'm calling for John Nadel with a question for your guys. You've heard from some skeptics who believe one of the primary reasons your mortality results in the U.S. have been somewhat weakened in the past 22 years is that several of your larger treaties are with companies we know are more aggressive in selling stoliers (ph) stranger-originated or stranger-owned life insurance, can you comment on whether you believe that this type of business is having any adverse impact in your mortality results?
Greig Woodring: Let me talk around that. There is perhaps a grain of truth to that. First of all I don't think that we have any unusual concentrations or big treaties with companies that were STOLI writers. Our facultative shops shut off STOLI business very early on and almost right away actually. We have been pretty much in the forefront of the vanguard who was trying to prevent STOLI from happening, so I think we would be surprised if we have an unusual concentration. Having said that though, there was a period of time when we and the whole market were not priced correctly for older issue ages because that really had not been a factor in anybody's lives up until the time when we started seeing a lot of STOLI business. So there was a period of time where we were underpriced as was the whole market and that period ran up to maybe 2005, so you might see some extra claims from there. We haven't noticed any particular or surprising STOLI-like features in claims that we've seen.
Operator: We have a question from Jenny Jones from Schroders.
Jenny Jones – Schroders: Yes, could you go back to Eric Berg's questions about the traditional business? I was trying to look through them in terms of what you think is really impacting you. I couldn't hear the answer but I also couldn't I guess I was – could not understand your obtuse responses. So could you directly talk about the blocks of business in the – over the last 10 years which are impacting even now? Okay, so those are two direct questions so I could have direct answers. Why are the expectations, again, repeating what he said, are the expectations different or are the results different than one had expected when the blocks were written? I could not hear them, number one, the answer and I didn't get direct answers. So of you could supply me with those please.
Greig Woodring: Okay, yes, when we talk about expectations that's different than pricing, that's clear first of all. In some cases expectations might be higher than pricing and in most cases expectations are quite a bit lower than pricing. Of course, the period of time since say 2004 and later, pricing and expectations are pretty close because we haven't seen a lot of evolution yet. Say '97 to '98 or so to 2003, I would say our expectations today might be a little bit higher than we priced at that time; that was a very competitive period of time and we have reassessed I think in the fullness of the perspective that time gives us where that is. Prior to that though I would say that our expectations are considerably below what we were pricing at because mortality –
Jack Lay: You're talking about claims flow when you say that.
Greig Woodring: Yes, yes that mortality expectations for business written in eras prior to that are considerably below just and –
Jenny Jones – Schroders: You're expectations today are below –
Jack Lay: What we're priced at.
Jenny Jones – Schroders: Okay alright.
Jack Lay: Because mortality has improved so much and if you go back, back in time far enough you'll see that differential open up considerably.
Jenny Jones – Schroders: Okay. I'm a –
Jack Lay: So it literally is a mixture.
Jenny Jones – Schroders: Alright and I guess can you – why were they priced below? I would have thought they would laughed earlier enough, you'd have actually better profitability than that but then an actuary would have assumed maybe 15 years ago.
Greig Woodring: I mean policies that were written sometime ago, we priced it at a level X, mortality has improved considerably. Our expectations would be less than one times X mortality now. Why haven't they lapsed? Well, a lot of those products remember are permanent products. They're not looking at replacing one set of mortality charges with another. They are basically looking at a whole life level premium or the universal life time product. So the products stay in force for a long time. We have a lot of business in force from Paris that precede 2003.
Jenny Jones – Schroders: Going back to the lot of changes, you would say then just respect with the question that you have not seen any pickup and it is because people really can't plan, so they're not going to about to get in a state policy in place when they don't really know what's ahead; is that your response?
Greig Woodring: Correct. In the limited discussions I have had with some of our clients about what are you doing about a state planning, are you seeing any uptick, they're all thinking about it. Some of their agents are thinking about it. They don't really have any plans at this point to develop new products to service that market because they really don't know where the law is going to become next year.
Jenny Jones – Schroders: Alright. Has that had an impact on you negatively this year?
Greig Woodring: No, no I mean it's –
Jenny Jones – Schroders: On the marketplace generally.
Greig Woodring: Yes, it's been the same for quite a while. Where we would see that –
Jenny Jones – Schroders: Right, I mean that's what I would think that so, alright.
Greig Woodring: This is a potential opportunity going forward.
Operator: (Operator Instructions) We have a question from Richard (inaudible).
Unidentified Analyst: Hi and good morning. I just had a quick question. I noticed in the past quarter there were noticeable uptick in the deaths of some billionaires, okay I counted about six in the quarter and traditionally that's had a big impact on you guys. I'm just wondering if that – there's any noticeable impact in the quarter due to that?
Greig Woodring: Richard, I don't know – I actually only know of only three billionaires who died this year, maybe you're more up-to-date than I am and I only know that because of the discussions around the state taxes and so forth. We do have a lot of wealthy people insured but it's not appropriate for us to comment on individuals.
Unidentified Analyst: Okay but the slightly worse than expected mortality in the quarter wasn't in your facultative book or something like that.
Greig Woodring: No, it wasn't.
Operator: (Operator Instructions) Mr. Andrew Kligerman has a follow-up question.
Andrew Kligerman – UBS: Yes. Just to follow-up on Jenny's question a bit earlier. With regard to the mortality, Greig, would you say that the net of the pricing from say '97 through '03 and then prior to '03 and I see you've got one big positive timeframe somewhat negative timeframe, what does it all net out to, you feel like going forward, you're on track for meeting expectations?
Greig Woodring: Yes, I think so. We had a return last year of 13% on that mortality markets business. We expect that – as we said in the first quarter expect that to slightly fall this year and that's based on the relative prominence or effect of those more pressured issue years in the overall result that this will be the bottoming out year and overall when we look back over time we'll expect decent returns overall.
Operator: (Operator Instructions) Gentlemen, there appears that at this time we have no further questions.
Greig Woodring: Okay, wonderful. Thanks everyone who joined us today. If you still have any other questions, come up feel free to contact us directly here in St. Louise and with that we'll end the second quarter call. Thanks again.
Operator: Again, ladies and gentlemen, that does conclude today's conference. Thank you for your participation.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!